Operator: Hello, and welcome to Williams Industrial Services Group First Quarter 2022 Financial Results Conference call and Webcast. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation.  As a reminder, this conference is being recorded. It is now my pleasure to turn the call over to Chris Witty, Investor Relations. Please go ahead.
Chris Witty: Thank you and good morning, everyone. Welcome to the Williams’ first quarter conference call. With me on the call today are Tracy Pagliara, President and CEO; Randy Lay Executive Vice President and COO, and Damien Vassall, Vice President and CFO. After Tracy and Damien provide their prepared remarks, we'll open the call for questions. Our first quarter results were issued yesterday afternoon and a slide presentation is available on the company's website at www.wisgrp.com. If you now turn to Slide 2 of our presentation, I'll review the Safe Harbor statement. This conference call may include forward-looking statements that represent the company's expectations and beliefs concerning future events that involve risks and uncertainties and may cause the company's actual performance to be materially different from the performance indicated or implied by such statements. All statements other than statements of historical facts included in this conference call are forward-looking statements. Although the company believes that the expectations reflected in such forward-looking statements are reasonable, it can give no assurance that such expectations will prove to have been correct. Important factors that can cause actual results to differ materially from the company's expectations are disclosed in this conference call. As well as with the other documents filed with the SEC. You can find all these documents on our website or @www.sec.gov. During today's call, we will also discuss some non-GAAP financial measures. We believe these are useful in evaluating the company's performance. However, you should not consider this additional information in isolation or as a substitute for results prepared in accordance with GAAP. When applicable, we will provide a reconciliation of non-GAAP measures with comparable GAAP results in a table that accompany today's press release and slides. Please note that our conversation today will be about continuing operations unless noted otherwise. Starting with slide 3. I'll now turn the call over to Tracy Pagliara. Please go ahead, Tracy.
Tracy Pagliara: Thanks, Chris. And good morning, everyone. Thank you for joining our call today. Williams posted first quarter revenue of $69.6 which while up 14% year-over-year was down sequentially from Q4 due to normal seasonal patterns. As we previously said our first quarter typically reflects reduced business levels related to slower activity to start the year. We posted a gross margin of 8.2% for the quarter reflecting continued challenges from our water, Florida Water business and startup costs associated with new locations to serve our energy delivery end market. Damien will speak a little bit further about gross margin in a minute. Operating expenses declined to $6.5 million which included $700,000 of litigation expense. As previously discussed, these legal fees and costs are tied to action being taken against a former employee and competitor relating to the wrongful loss of Williams’ business. Reflecting all these factors adjusted EBITDA was $100,000 for the quarter. We finished the period with $257 million of backlog which includes $38 million of new contract wins. As I'll discuss in a moment, we expect greater reward activity in the months to come. And in addition, reiterating our guidance for fiscal 2022. Now turning to slide 4, I'd like to discuss the state of the business and current outlook. While it's been a relatively short period of time since reporting Q4 results, a few things have changed to positively alter the landscape going forward in March, Congress and the administration finally passed the $1.5 trillion omnibus spending bill for fiscal 2022. Thus ending months of operating near purgatory under continuing resolution, which slowed decision making and stymied implementation of programs outlined under the 2021 Infrastructure Investment and Jobs Act. The multiyear Infrastructure Investment and Jobs Act will add more than $45 billion of supplemental investments to enhance water and power grid infrastructure, and includes $6 billion of funding designed to extend the life of existing nuclear facility. Thus, the Act provides supplemental funding for many critical areas we serve, addressing infrastructure are in dire need of upgrade. At the same time, we're focusing on new business development activities to win contracts with the necessary people and facilities in place, all of which impacted our gross profit this quarter. We view the remainder of 2022 as having strong potential to build our backlog given overall market trends, increasing demand and improving bid activity. We're dedicated to diversifying the business and moving into higher margin areas that can lead to sustained, solid results in the quarters and years to come. I have more comments at the end, but now, I will now hand it over to Damien to discuss our quarterly financial results in greater detail. Damien?
Damien Vassall: Thank you, Tracy. And good morning, everyone. Let's review the financials in greater detail. Turning to slide 5, we posted a revenue of $69.6 million for the quarter, As Tracy mentioned an increase of 14% over 2021. Sales rose year-over-year due to higher levels of work across our nuclear and water end markets, more than offsetting lower Canadian business and decommissioning work. Revenue from Plant Vogtle 3 and 4 was approximately $15.9 million during the period slightly more than in Q4. As Tracy discussed, although our backlog did not grow substantially during the first quarter, we are optimistic about more rapid growth for the remainder of the year, due to pent-up demand, government budget priorities and high bid activity levels. Slide 6 shows operating trends for the company, we posted gross profit of $5.7 million, or 8.2% of revenue for the first quarter versus $6.1 million, or 10% of our revenue last year. The lower margin reflects along with the ongoing impact of several previously announced fixed price projects in Florida, which we experienced cost overruns last year, and now report on a zero margin basis. Margins were also lower due to startup costs associated with the expansion into the energy transmission and distribution markets as Tracy mentioned, excluding the startup costs and the Florida projects, gross margins would have been 10.5% for the quarter. We expect margins to remain under pressure, but improve as the year progresses. Operating expenses were $6.5 million for the first quarter, including $700,000 of litigation expense, versus $6.6 million last year, reflecting lower as SG&A cost. While making progress bringing down our expenses. We continue to assess ways to further streamline our overhead and improve the bottom line results going forward. I'll now turn the call back to Tracy for review of our 2022 guidance and his closing remarks. Tracy?
Tracy Pagliara: Thanks, Damien. Slide 7 sets forth the 2022 guidance that we first provided in January. As I mentioned earlier, there has been no change to this guidance, we envision revenue of between $305 million and $325 million and expected to post gross margins between 10.5% and 11%, including the impact of changing project mix previously discussed. We anticipate SG&A to be between 8.75% and 9.25% of revenue, reflecting some critical investments in upgrading our IT systems, both ERP and HR. Without those investments SG&A would be expected to be between 8.25% and 8.75%. As mentioned earlier, the operating expenses in Q1 included $700,000 of one time legal fees and related cost. Reflecting all the aforementioned items, our adjusted EBITDA forecast remains between $10 million and $12.5 million. The first quarter of 2022 is expected to be the weakest period we report this year as it’s typical and we are confident in our ability to steadily show improving sequential results, particularly in the second half of 2022. Our margins are anticipated to decline, reflecting both improving  and declining impact from some legacy problems as previously discussed. Our backlog and revenue should also both benefit from an active bid environment and strong overall demand recently strengthened by the 2021 Infrastructure Investment and Jobs Act. The key takeaway from today is that in Q1, we continue to investing in the future to turn around the business and have not changed the guidance for the rest of 2022. We are confident that company's setting in the right direction for improved operating performance for the remainder of this year as well as 2023 and beyond, supported by the following factors. First, the increasing acceptance of nuclear is an essential element of a carbon free electricity footprint. Second, the expanding infrastructure needs in key states served by Williams due to population growth, and the imperative to strengthen the energy grid. Third, with substantial capital project budgets of our utility and municipality customers to address those needs. And finally, the anticipated more than $50 billion of applicable supplemental new investments in water, power and clean energy under the Infrastructure Investment and Jobs Act. As always, we appreciate our long-term shareholder support, patience and passion as we move Williams forward. With that operator, we can open the line for questions.
Operator:  Our first question today is coming from Theodore O'Neill from Litchfield Hills Research.
Theodore O'Neill: Thank you very much. So two questions for you. So this entry into the energy transmission and distribution market. Can you talk about what you're doing there and what the opportunity is? And the second question revolves around the Florida Water market project where you're booking revenue with no profit. And in the Q, you say you won't see the profit until fourth quarter ‘22? Is that going to have a significant impact on Q4 gross profit margin?
Tracy Pagliara: I'll take the first part of the question. And I probably asked Damien to comment on part of the second question, the opportunity in the transmission and distribution end market is we're working with Eversource in Connecticut to put in new natural gas lines for distribution lines into residences, we think the opportunity is quite substantial, given the amount of money that Eversource has committed in terms of capital to spend on that, it's over $7 billion over the next several years. And in Tampa, we're working with TECO, which is Tampa Electric, which is the utility that serves the Tampa and surrounding areas. And we're putting in infrastructure, new distribution lines for power to residents as well. So both of those opportunities are substantial due to the capital budgets with the utilities and the fact that additional money is going to be allocated for those areas based on the Infrastructure Investment and Jobs Act. With respect to the Florida situation, that's a hangover from the losses that we reported last year in Florida. But let me let Damien elaborate further on that.
Damien Vassall: Yes, sure. Thanks, Tracy. So the Florida project, these fixed price projects in the water markets, we expect those projects to run through early Q4 of this year. Our guidance reflects those projects will remain at a 0% gross profit. Obviously, we're taking measures to be able to reverse that through productivity gains as well as potential change orders. But it will run through Q4 this year at zero gross margin.
Theodore O'Neill: Okay. I wasn't clear the way I read the Q, there was going to be a profit. You'll be booking profit and no revenue in the fourth quarter.
Operator: Our next question today is coming from Julio Romero from Sidoti & Company.
Julio Romero: Hey, good morning, just staying on the topic of the Florida project, can you maybe quantify how much revenue came from that in the first quarter? And how much more revenue is expected to be booked for the remaining nine months of the year?
Tracy Pagliara: In Q1, there's revenue $9 million. Yes, in Q1, there was approximately $9 million coming in out of those projects. And going forward for the remainder of the year, we expect those projects to generate approximately $16 million to $18 million in revenue.
Julio Romero: Got it, that's very helpful. So you expect greater award activity in the coming months? Can you maybe talk about how you expect orders to flow as we progress throughout the year? Do you kind of expect kind of a steady sequential growth or more of a step function in the back half?
Tracy Pagliara: We're expecting more of a step function in the back half because of the Infrastructure and Investment and Jobs Act monies. None of those have really hit the books yet. We know they're coming, we've done the research. So I think it's going to pick up in the second half.
Damien Vassall: Okay, I would also add to that historically, first quarter is typically our slowest volume per quarter. And we typically uptake from there.
Julio Romero: Yes, understood. Can you give us any progress updates on the ERP and HR investments? And if the timeline on ERP implementations still at the same place?
Tracy Pagliara: Yes, so the ERP we went live within the last month and very good. We had a very good rollout when we're using the system now.
Damien Vassall: I think HR.
Tracy Pagliara: HR, excuse me, HR, I apologize for that. The ERP is still scheduled to go live in the first quarter. And we're confident based on the progress we're having with the project to date but that's doable.
Julio Romero: Okay, and that would be first quarter of 2323.
Tracy Pagliara: ’23, correct.
Julio Romero: Okay, perfect. And I guess it's more of a broader question. Can you maybe speak to inflation, supply chain? What if any effects are you working through at the current moment?
Tracy Pagliara: Damien, you want to take shots at?
Damien Vassall: Sure. So as we're all being impacted by inflation. Currently, it's less of an impact on our business, primarily because the majority of our contracts on the clock are on a cost plus basis, which allows us to pass those costs on to our customers, as we look at our fixed price projects, and there are some inflationary pressures there, particularly with the projects that we entered into some time ago before we start to see inflation increase so we're managing those costs. As it relates to future bid activities, just based on the environment that we're in, we are increasing our escalation and contingency to cover ourselves as we remain in this high inflationary environment.
Operator: Next question is coming from  Capital.
Unidentified Analyst: Hi, good morning, Tracy and Damien. Based on some prior couple of questions, I suppose I was upgrading my estimate of normalized gross margin, your current gross margin is a little on the low side because of the Florida. So assuming Florida revenue is about 10%. Should we say that the normalized gross margin for the current business is around 11.5% or 12% excluding any Florida or any one off events? Is that sort of fair to say?
Tracy Pagliara: Yes, it's excluded -- while excluding the Florida and startup costs. The normalized gross profit in the quarter is approximately 10.5%.
Unidentified Analyst: Oh, okay, so 10.5% to 11% is sort of a normalized gross margin. It's not including the Florida zero revenue.
Tracy Pagliara: Correct. If that's carved out, yes.
Unidentified Analyst: Yes, if so going forward and it used to be like your gross margins used to be around 30%. But it has decreased to this level, is it mostly because of the project mix or you think it would go back to around 4% number at some point?
Tracy Pagliara: Yes, so you're correct. Historically, our business has generated 11% to 13% gross margins. 2022 is abnormal year for several reasons. The startup costs associated with the entry into the transmission and distribution business, as well as the hangover on the Florida projects. Once we get past 2022, we'd expect our gross margins to go back to the normal profile that we've seen.
Unidentified Analyst: Okay, that's good. So you think assuming these one off cost, it may go to around  0:21:12.6 number, at least there is a chance next year.
Tracy Pagliara: Yes, we would expect it to be 11% to 13% range.
Unidentified Analyst: Great. And for SG&A, as well, it is on the higher side, and you say adjusted is about 50 basis points lower than what you have right now. But again, that's 8.2% to 8.75% versus about 7% what it used to be? So I'm again, the same question is whether normalize margins next year margins, let's say, will they go back to your historical or they have settled at these higher levels, which is, let's say earlier for 7%. Now, it's like 8.5% from this. Is it now like normalized next year? Let's say we'll go to like 7% area, or do you think it stayed at 8.5%?
Damien Vassall: No, yes, 8.5% is high for us. As we're going through that transition period, which is causing some of the SG&A costs to increase. As we mentioned earlier, we did have about $700,000 in non-recurring legal expenses. So some of these one-time costs to get behind us, we would expect to be below 8% going forward.
Operator: Our next question is coming in from John Deysher from Pinnacle.
John Deysher: Good morning, everyone. A couple of quick questions. With regards to the new business initiatives. Are you planning on opening any offices in pursuit of that? And if so where?
Tracy Pagliara: Yes, we're looking at the Southeast and Gulf Coast and Northeast. We think we'll need to open new offices in support of our water and energy delivery initiatives. So we have some key geographies. This, Florida is obviously one, Georgia, Tennessee and Texas are areas that we're looking at because of population growth in the northeast, we expect energy delivery, population growth and the imperative to upgrade the power grid.
John Deysher: Do you anticipate opening any offices before year end?
Tracy Pagliara: I think that would be more likely a 2023 initiative, but we're actively evaluating that. The information about where the Infrastructure Investment and Jobs Act monies span is relatively new. So we are going to follow the money, if you will. But I think we'll have more clarity on that probably in the second half, even though we've made some progress trying to figure out where that money is going. I think there'll be more clarity in the second half. So that would probably land itself to 2023 event.
John Deysher: Okay, that makes sense. With regard to your revolver and term loans, I think they're both tied to LIBOR. And looking at the current LIBOR rates, I think, three month and six month LIBOR rates are up roughly 40 basis points, each from just a month ago. And I'm curious if you've done any sensitivity analysis as to what cash interest costs might do should LIBOR rates continue to climb?
Damien Vassall: Yes, that's something that we're all also evaluating. And it will obviously have an impact our business from an interest expense standpoint, the way we're looking to mitigate that is to manage our working capital more tightly to hedge some of those increased costs potential.
John Deysher: I don't quite follow that manage working capital more tightly. How does that reduce your interest rate costs? Unless do you have the ability to prepay both of those?
Damien Vassall: No, I was more so referring to our revolving credit facility. So rather than using that, and carrying a balance, we look to improve our DSOs to bring in cash into the business sooner in order to avoid using the ABL.
John Deysher: Okay, that makes sense. Can you do anything on a term loan side to hedge that?
Damien Vassall: There are provisions in the agreement that we would, there are some penalties associated with prepayment.
John Deysher: Okay, so you would consider prepayment or you would not consider prepayment.
Damien Vassall: We ought not to prepay.
John Deysher: Okay, so you're pretty exposed on the term loan if in fact, LIBOR goes up substantially?
Damien Vassall: Yes, that's correct. We are evaluating that. We expect the growth in the business going into the second half of the year. Again, will help us generate more cash which will allow us to manage our working capital.
Operator: At this point, there appears to be no further questions in the queue. So I'll turn the floor back over to Mr. Pagliara for any closing remarks.
Tracy Pagliara: Thank you, everyone, for participating today. We appreciate your time and interest in Williams and look forward to talking to you again next quarter. Take care and be safe and well. Have a good day.
Operator: Thank you. That does include today’s teleconference and webcast. And you may disconnect your line. And have a wonderful day. We thank you for your participation today.